Operator: Good morning. My name is Ashley and I will be your conference operator today. At this time, I would like to welcome everyone to the JBT Corporation first quarter 2010 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) I would now like to turn the conference over to Cindy Shiao, Director of Investor Relations. Ma'am, you may begin your conference.
Cindy Shiao: Thank you, Ashley. Good morning, everyone and welcome to our first quarter 2010 conference call. This morning, we issued a Press Release outlining our company's financial performance for the first quarter of 2010. With me on the call are Charlie Cannon, Chairman and CEO and Ron Mambu, Vice President and CFO. Before we begin, I want to remind everyone that this call may contain certain forward-looking statements that are subject to the Safe Harbor language in today's Press Release and 8-K filings. Both documents are available on our Investor Relations website, as are a reconciliation of non-GAAP financial measures mentioned on today's call to their corresponding GAAP measures. I also refer you to our disclosures regarding risk factors in our 2009 Annual Report on Form 10-K filed with the Securities and Exchange Commission. Now, I will turn the call over to Charlie.
Charlie Cannon: Thanks, Cindy and good morning, everyone. I will begin with a brief update of our performance for the quarter, followed by a discussion of current market conditions for our two segments, as well as our outlook for 2010. Ron will then provide more detail on our financial results. Given the challenging conditions we faced in 2009 and the lower backlog entering the year, this was a solid quarter with revenue and EBIT results in line with our expectations recognizing that the first quarter is seasonally our weakest. For the quarter, revenue was unchanged from last year at $169 million while EBIT declined 6% to $7.9 million. Diluted earnings per share were $0.14. On a bright note, both orders and backlog were up sequentially 25% and 35% respectively. Inbound orders also increased 29% year-over-year. Now let me provide some color on what is driving these trends. Our business is looking up. As I communicated in early March, many of our markets were showing signs of improvement. This trend continued throughout the first quarter. We saw FoodTech inbound in Europe and North America strengthening from the low levels of 2009. Our airline and air freight customers reported improved operating results. Air travel and air freight volumes are forecasted to grow, all of which bodes well for JBT. Now, let me turn to each of our segments. First, JBT FoodTech. Order sizes for our FoodTech product lines continue to be smaller relative to our historical standard. This was the main contributor to the year-over-year decline in first quarter backlog. However, we are starting to see slightly larger projects for line expansion as some of our customers ramp up production due to increased consumption. We are hopeful that the small ball trend I mentioned in our March year-end call may reverse as the economy improves. Demand for our freezing and protein processing product lines is improving. First quarter inbound increased year-over-year across all regions. Many of the orders were from non-poultry segments. As for the poultry segment, corn prices have declined recently while poultry prices firm up, which is positive for our customers' bottom line. We have begun discussion with some of our poultry customers regarding their capital requirements and anticipate a rebound in capital spending in the next six to nine months. Overall, we are very pleased with the level of activity we are seeing for these product lines. However, due to weak demand in 2009, many of our competitors lowered prices on several projects to capture business. We have selectively responded and as a result, we did see some negative impact on our margins. With the economy improving and demand on the rebound, we believe this price pressure will ease. Turning to the fruit processing product line, as we mentioned on our March call, 2009 drought conditions were the main contributor for this year's lower Florida citrus crop size. In fact, the freeze in January accelerated Florida fruit processing, which mitigated the negative impact for the first quarter. However, the lower Florida crop will impact our results for the next two quarters by an estimated $0.04 to $0.05 a share, as I previously mentioned in the March call. Additionally, the tomato industry is going through a supply adjustment after record production in 2009. A 7% to 10% reduction in total processed tomato volume is projected for 2010. As a result, we anticipate the demand for tomato processing equipment to remain weak throughout the year. To respond to these lower volumes, we implemented further cost-reduction actions. For our in-container sterilization product line, demand is steady with a slight uptick in Europe. Lastly, our FoodTech aftermarket volume increased slightly in constant currencies. In summary, for 2010, we expect the FoodTech top line to grow modestly with year-over-year earnings growth, primarily due to the improved market conditions in Europe and North America for our freezing and protein processing product lines. Moving to JBT AeroTech, demand for our ground support equipment product line has stabilized. First quarter inbound orders were in line with our expectations and comparable to last year's quarter. Many of our airline and air freight customers reported improved results, as well as record passenger and freight load factors. Additionally, air travel and air freight volumes are forecasted to grow in 2010 by 6% and 12%, respectively. Our quoting activity has increased meaningfully and we are hopeful for a stronger second quarter inbound. Although we do not anticipate the industry's capital investment to return to pre-recession levels in the near future, we believe the pace of recovery is steady. For ground support equipment, we are forecasting a modest top-line increase compared to our past experience, but significantly improved bottom-line results in 2010, reflecting the benefit of the cost-reduction initiatives implemented last year. Turning to gate equipment, we had a very strong first quarter inbound of over $60 million. The activity level remains high for this product line. As for airport services, we received notification of one-year extensions for two of our larger existing contracts and we also have a number of service bids outstanding. However, profit margins in the services business are under some pressure, reflecting increasing competitiveness in this segment where price is often the driving factor for many airport authority bids. Now moving to the Halvorsen program. With the receipt of a one-year engineering and logistics services contract, we will continue to provide services in parts to the U.S. Air Force at least through the first quarter of 2011, even though we have completed the last Air Force production loader under contract. We are pursuing opportunities with other branches of the U.S. military, as well as several foreign governments, which have identified requirements for military loaders. Finally, AeroTech traditional aftermarket volume was down 7% from first quarter of 2009, largely due to a lower level of maintenance spending, reflecting reduction capacity, as well as deferred spending by our customers. We are forecasting a modest increase as our customers' profitability improves. To summarize our outlook for JBT AeroTech, we expect revenue to grow modestly this year with improved earnings, primarily driven by improved profitability within the ground support equipment product line, partially offset by lower Halvorsen volume and competitive pricing pressure in airport services. To recap, we expect continued improvement in most of our product lines. We are very encouraged by the higher level of quoting activity and anticipate second quarter inbound will be significantly higher than second quarter 2009. We also anticipate our second quarter ending backlog will be significantly higher than last year, which will support a strong second half of 2010. Based on these considerations, we are providing full year earnings guidance in the range of $1.15 to $1.30 per share with all of the potential upside in the second half of the year. Although we do not provide quarterly guidance, we are expecting lower second quarter sales and earnings versus last year. The lower end of the full year EPS guidance rage assumes modest top-line growth for the year. The upper end of the range assumes a more robust top-line growth from accelerated customer demand, as well as improved pricing. Now, I will turn it over to Ron Mambu.
Ron Mambu: Thanks, Charlie. The first quarter was in line with our expectations and prior-year results. Our first quarter is usually the seasonally lowest quarter and that appears this year will be no exception. First quarter revenue of $169 million was even with the same period last year and reflects the low backlog position as of the end of 2009. Diluted earnings per share for the quarter were $0.14, one penny behind 2009 earnings. Net debt at quarter-end was $128 million, an increase of $10 million from 2009 year-end levels. I will comment on our operating segment performance and corporate items in turn. First, FoodTech. Revenue of $102 million was up 7% versus the first quarter of last year, largely due to currency translation effects. Higher revenue from Asia-Pacific and traditional aftermarket parts and services were offset by lower freezing and protein processing equipment sales in Europe and North America. FoodTech's operating profit was $7.7 million and operating profit, as a percent of revenue, was 7.6%. During the quarter, we incurred $900,000 of restructuring charges in FoodTech to continue to reduce costs. On a comparable basis, FoodTech margins, excluding restructuring charges, were 60 basis points lower than the prior year quarter. This was primarily due to competitive pricing pressure and some of our freezing and protein processing products, partially offset by improved margins in our in-container sterilization product line. Year-over-year, inbound orders for the quarter increased 29%, reflecting strong recovery in the freezing and protein product lines across all regions. FoodTech's backlog was 19% lower than the first quarter of 2009 due to the lower backlog at the beginning of the year and smaller order sizes. The prior-year quarter's backlog included five large projects totaling $60 million compared to $10 million in large projects in the current quarter's backlog. FoodTech's backlog increased 28% sequentially from the 2009 year-end level and we expect the current order activity to further build our backlog in the second quarter. Moving to AeroTech. Revenue declined 8%, or $6 million from the first quarter of 2009. This was primarily due to the timing of gate equipment revenue and the impact of lower backlog levels at the end of last year for ground support equipment and automated guided vehicle product lines. AeroTech operating profit of $4.8 million declined 13% from the prior year quarter. The impact of lower volume and competitive pricing pressures for airport services was partially offset by cost-saving initiatives implemented in 2009 and the absence of restructuring charges in the current quarter. Inbound orders increased both year-over-year and sequentially by 30% and 71% respectively. The current quarter inbound included two large orders for gate equipment totaling $22 million and a third order of $21 million from the U.S. Navy for land-based air conditioning units and support equipment. Inbound orders for ground support equipment were level compared to the first quarter of 2009, a positive sign that demand has stabilized for this product line. Now regarding corporate items. Our first quarter effective tax rate was 34.3%, in line with our guidance of 33% to 35%. Total corporate expenses, excluding interest, were favorable compared to the prior year period, primarily driven by favorable pension results from higher investment income associated with the U.S. defined benefit plan, which was frozen as of the end of last year. Partially offsetting were higher corporate staff costs. For 2010, we expect corporate staff to be up 7% to 8%, primarily due to increased costs related to acquisition efforts and incentive compensation reflecting the improved outlook. Other income and expense is anticipated to be in the range of $4 million to $6 million, assuming no significant foreign exchange movement. Capital spending and depreciation and amortization for the quarter were $2.9 million and $5.6 million respectively. Lower capital spending for the quarter was primarily a function of timing. As for the renovation of our citrus facility in Florida mentioned in our prior conference call, we continue to evaluate alternatives. We plan to execute the renovation in phases. We do not expect additional annual capital spending to exceed 20% to 25% of our historical annual average for the next two to three years. Finally, for the quarter, we used $8 million in cash for operating activities, primarily for working capital requirements. Overall, net debt was $128 million, an increase of $10 million from the December 2009 year-end levels. Moving forward, we expect working capital utilization to benefit from advanced payments generated from stronger inbound activity. At the end of the first quarter of 2010, we had $10 million in cash on hand and about $135 million in available and undrawn credit lines. We believe we will generate sufficient free cash flow this year to meet all anticipated operating needs. Finally, we plan to file our 10-Q this afternoon, so there will be more detailed information readily available for your review. In summary, we are pleased with the improved inbound and backlog picture for our businesses, which supports our expectations for second half earnings increases and our full year earnings estimate in the range of $1.15 to $1.30 per diluted share. We believe the pace of market improvement will continue and we remain confident in our ability to generate positive cash flow from operations. With that, we would like to take your questions. Operator, please open the call for questions.
Operator: (Operator Instructions). And our first question comes from the line Liam Burke, Janney. Please go ahead with your question.
Liam Burke – Janney: Thank you. Good morning, Charlie. Good morning, Ron.
Charlie Cannon: Good morning, Liam. How are you?
Liam Burke – Janney: Good, thank you. Charlie, you mentioned that there is some pricing in the airport services area. You have a fair amount of contracts there. How much flexibility do you have at renewal time on pricing?
Charlie Cannon: I think the renewal time is not much an issue. I didn't mean to infer that. I think in the first quarter of last year, we had some contracts that expired and went away in the first quarter of '09. I think our year-over-year price discussion in services will be lot mitigated as we go forward. And I don't mean to imply that the business is suddenly unattractive, it is just that some of these big municipal bids, its price and so part of it is being skilled enough to figure out how much headcount to bid and what your risk profile is. But we did see some of that in some of these projects.
Liam Burke – Janney: Okay. Thank you. And Ron, on the working capital side, you would expect that to reverse itself over the period throughout the course of the year. So, you should be fairly comfortably free cash flow positive based on your earnings guidance.
Ron Mambu: Yes. That is how we are seeing it, Liam. We had some discharge of year-end obligations in the first quarter on current liabilities that moved working capital up. But with this inbound activity that we are seeing, that usually benefits working capital, especially on the FoodTech side. And hopefully, we will be able to convert all of this in the second half of the year. We are expecting to continue to produce free cash flow and conclude the year with lesser debt than we started.
Liam Burke – Janney: Great. Thank you.
Charlie Cannon: Liam, the one thing I would add to that and as we have told you previously, as you know, when inbound goes up, it tends to help FoodTech's working capital. On the AeroTech side, it is more traditional. As you get orders in and grow the top line, AeroTech tends to require working capital. So in a way, we have to watch – since both segments are kind of opposite, we have to kind of watch. But right now, we feel very comfortable with our cash flow for the year.
Liam Burke – Janney: Great. Thanks, Charlie. Thanks, Ron.
Operator: And our next question comes from the line of Arnie Ursaner with CJS Securities. Please go ahead with your question.
Charlie Cannon: Good morning, Arnie.
Jason Ursaner – CJS Securities: It's actually Jason calling in.
Ron Mambu: Hi, Jason.
Charlie Cannon: Hi, Jason. Good morning.
Jason Ursaner – CJS Securities: Good morning. So you guys sound much more enthusiastic and you chose to reinstate guidance. Is the improved visibility from more general activity from these larger orders in the market or is it more of the quantitative budgeting you are doing with some of these long-term customers where you really see the capital investment coming back?
Charlie Cannon: No. I think in the first quarter call, I mentioned that we saw the first half of the year look kind of just almost identical to the first quarter – excuse me, the first half of the year looked almost identical to last year. Now we are saying, of course, we are penny behind the first quarter. We anticipate being behind the second quarter. But the positive things we commented on in the March call maybe took a little bit longer to start hitting, but now they are hitting. And for example, we just closed the books on April and our inbound in the month of April for JBT was $35 million stronger than April of '09. And so, as you know, looking at our forecast going forward the next few months, we can see a significant as I mentioned, significant inbound in the second quarter above last year and a starting position as we look at the second half of the year that is strongly ahead of last year. So that's giving us confidence. Beyond that, we can see out about four to five months. And I read the papers like you do and the market drops 1000 and I guess we saved Europe this weekend with $1 trillion and the market is up today, so who knows. I can only go on what we are seeing in our current markets and it's very positive right now for us.
Jason Ursaner – CJS Securities: And when you say something like the April orders were up $35 million. What type of margin impact is that going to be? I know you mentioned pricing pressure on freezing, and protein and some of these new large orders tend to carry lower margins?
Charlie Cannon: Well, we don't – we are not seeing yet a return to the real big orders, the $10 or $18, $20 million FoodTech orders. We just had a press release Friday. It is gratifying to get back to the $4 to $5 million range. We are trying to hold our – as we have told you in the past, we don't have a ton of fixed costs, but we have done a lot of cost reduction across the company in the last 18 months. And we are still – I mean conceptually, we still have a headcount freeze in the company with only – any higher has to be approved by a segment vice president. And so we are hopeful, if we can really watch our costs as volume comes back, we will get SG&A leverage and hopefully improve margins. We are currently, right now we believe at year-end, we will have segment EBIT margins ahead of last year. And we are going to be obviously behind in the first half. We feel pretty good about the second half.
Jason Ursaner – CJS Securities: That goal is excluding the pension that was in the segment or that would be including it?
Ron Mambu: That's all up, Jason. We would include the pension savings. And I think just to reiterate what Charlie is saying, with the added volume we do get some leverage of our fixed costs and we were largely variable, but this added volume is going to help us leverage costs below gross profit. And we are anticipating closing the year with both FoodTech and AeroTech with EBIT margins ahead of last year.
Jason Ursaner – CJS Securities: Sure. That sounds good. And then the airport services just continuing with what Liam said, the pricing pressure that's a new issue? Is this new competition coming in, in that division?
Charlie Cannon: It's not new competition. It's –there is really four or five significant players in this segment, although there is – if you count all the mom and pops, there is even more than that. But I think as the airline – airport authorities outsource, they are getting better at how they spec it and they are getting better – they are learning how to bid it better, et cetera, et cetera. But it's still a very attractive segment and it is not across the board. But we have had a couple of places where we saw some price pressure. And we are seeing especially in some of the new outsourcing some real price pressure.
Jason Ursaner – CJS Securities: Okay. I am going to jump back in the queue. Sounds good, guys. Thanks a lot.
Operator: (Operator Instructions) And we have a question in the line of Gregory Macosko with Lord Abbett. Please go ahead with your question.
Gregory Macosko – Lord Abbett: Yes. Thank you. Would you talk a little bit – you talked about the $35 million. I am assuming that year-over-year in April, is that – that's in both areas or just FoodTech?
Charlie Cannon: No. That's the total company.
Gregory Macosko – Lord Abbett: Could you – you have mentioned the pricing pressure. How about – what are you seeing in terms of pricing in those orders? Does that give you confidence that the pricing is better now or?
Charlie Cannon: Yeah. The answer to that is, yes. And I would like to stress – the price pressure showed up a little bit in margins, but it's sort of selective. It is in – it is not across the board, it is not in our aftermarket. We've had price pressure in ground support equipment for the last three years. There is no change there. That's very price competitive. With services, we saw a little bit more than usual. And then selected projects in our freezing product line where the projects got to be a little bit bigger than a couple million people wanted to go after them and they – by the way, the only person that can approve the use of price in an order is a division VP. So we don't have product managers out in the field cutting price right and left. That requires approval of a vice president to go beyond our stated pricing. The other comment I would make on margins for what its worth, the management team annual incentive program is paid – their annual bonus is paid on our EBIT growth and our net contribution, which is our EVA measure, but one third of it is based on EBIT margin. So we feel like we have got management incentive controls lined up with maintaining and growing margins.
Gregory Macosko – Lord Abbett: With regard to that pricing in those – the ground support services freezing, you say that you feel comfortable that in all but services that the pricing is going to improve?
Charlie Cannon: I think I was referring mainly to FoodTech there. I don't know the ground support equipment. That has been – I mean ground support equipment, the volumes are half of what they were two years ago and you can imagine that environment all the competitors, especially the European ones are trying to maintain employment. So it has been very, very price competitive probably for the last 2.5 years. Services is a more recent phenomenon. We're watching it, but as I said earlier, this is still a very attractive business to us.
Gregory Macosko – Lord Abbett: And then in terms of the orders, are those primarily sort of new equipment orders or do those include also the replacement orders? Or aftermarket replacement stuff?
Charlie Cannon: Well, it's both. We will ask the operations a couple times a year, which is leading and usually they will say it is about 50-50. The order we announced in Germany on Friday was to replace a different technology. We replaced a lot of our high-tech freezing lines taking out cryogenic freezing in the McDonald's supply chain. So I don't know how you would – I guess you would call that probably both, probably a little bit of new production as well as replacing existing technology.
Gregory Macosko – Lord Abbett: So the mix though hasn't really changed in this sort of burst of new orders?
Charlie Cannon: Well, I think in the downturn of '09 the mix changed because there was less new, I’m sorry, I’m stammering here – less new capacity being added. As the recovery happens, we are seeing the demand side pick up where they need new capacity.
Gregory Macosko – Lord Abbett: And you can maintain margins if there is a higher mix of sort of new equipment as opposed to aftermarket?
Charlie Cannon: Well, you're right to say that the mix on aftermarket and new is an impact. And so it depends on the growth rate of the new stuff. And so it's hard to answer that until you see what the volumes are. But you are right, that it's harder to maintain margins in an upmarket for us on the mix issue. On the other hand, we get some volume leverage. So it depends on the – it means where it occurs and which product lines, does that make sense what I just said?
Gregory Macosko – Lord Abbett: Yes. I understand, yes. Okay. Thank you.
Operator: And our next question comes from the line of Michael Saloio with Sidoti & Company. Please go ahead with your question.
Michael Saloio – Sidoti & Company: Hi, thanks for taking my question.
Charlie Cannon: Hi, Mike.
Ron Mambu: Hi, Mike.
Michael Saloio – Sidoti & Company: Hi, how you doing? Could you just go back over the decline you saw in AeroTech aftermarket and when you think that's going to kind of turn around as some of the commercial airlines continue to take capacity off, et cetera?
Charlie Cannon: Well, we are hopeful that will start to turn in the next quarter or two. If you look at the – we are pleased that our large freight customers have announced pretty solid earnings. And I guess the tone of their earnings calls is more positive and we are encouraged frankly with some of the consolidation things you are reading about in the paper. We think that bodes well for the customer base long term. And so I think as air traffic and freight traffic come back up. You are going to – you can't defer maintenance spending forever. So we anticipate that probably turning this year. We do not anticipate sort of returning to pre-recession volume levels this year. We think that will take probably into 2011. But we are – I think Ron's words were we are encouraged by this sort of steady bounce back.
Michael Saloio – Sidoti & Company: Okay. That's helpful. And second question, regarding the extra staff you are adding, I think you said 7% to 8% in 2010 for acquisitions. Can you just talk a little bit more about what we should look for as far as acquisitions this year and next, specifically in Asia-Pacific?
Ron Mambu: Yeah, Mike. The 7% to 8% is our estimate of corporate staff year-over-year and indicated it's a couple of things. And one is some additional staffing to help us in the corporate development area and effort in acquisitions. We also continue to work with some advisers who are helping us target some bolt-on acquisitions. And then lastly, we just think part of that is related to higher incentive comp on improved business results this year versus last year. In terms of acquisitions, our strategy is the same as we continue to look for bolt-on acquisitions. We do have a focus and a little additional effort in Southeast Asia. But we are not excluding the rest of the world either. And other than that, I wouldn't comment any further on acquisition possibilities other than to say that continues to be an important component of our strategy.
Charlie Cannon: I'll add one thing. And we remain very focused on Asia as part of our corporate strategy because it's clearly in the next decade it will be a very important region of the world for business. And we are looking at bolt-on acquisitions. Unfortunately, I don't know how familiar you are with the Shanghai stock market prices, but there is a lot of things trading for 50 times earnings, which is slightly above our multiple. So it's going to be a challenge to pull off an Asian acquisition that would have a big impact I think given that environment.
Michael Saloio – Sidoti & Company: Okay. And have you seen similar expectations change at all in some of the other regions and some of the smaller private companies?
Charlie Cannon: Not terribly, but we are committed to remaining disciplined. So we are disappointed we haven't done more bolt-ons. But I would rather be disappointed I am not doing enough bolt-ons than to be disappointed that I overpaid for something.
Michael Saloio – Sidoti & Company: Okay. That's helpful. Thanks.
Operator: And there are no further questions in the queue at this time. I will now turn the conference over to Cindy Shiao. Please go ahead.
Cindy Shiao: Thank you, everyone, for joining us on the call this morning. If you have any further questions, please give me all call. A replay of our call will be available later this afternoon. Have a good day.